Operator: Ladies and gentlemen, welcome to the Volkswagen Investor, Analyst and Media Call First Half 2024. I am George, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Oliver Blume, Chairman of the Board of Management. Please go ahead, sir.
Sebastian Rudolph: Good morning, everyone. And this is not Oliver Blume, but Sebastian Rudolph.  Thanks, George.  You will listen to Oliver in a few seconds. Good morning to the half year results call of Volkswagen Group. It's a joint call for both media as well as investors and analysts. Teamwork effort also from our side. It's a pleasure to have Rolf Woller with us, our Head of Treasury and IR, and I'm the Vice President of Global Group Communications. With us today is Oliver Blume, our CEO; and Arno Antlitz, our CFO and Chief Operating Officer. Let me provide a few remarks before we start. You should have received the press release, the interim financial report and all other related materials, all published this morning. If you do not have them yet, then you can find all documents on our website or just drop us an email, and we will send them straight to you. We have also just released the Volkswagen Group Green Finance Report, which is also available for download on our website. With that, let me now hand over to Rolf for a brief run-through of the next 1.5 hours. Rolf,  the floor is yours.
Rolf Woller: Thank you, Sebastian, and a very good morning to everyone on the call. Again, thanks for joining us today. Let's have a brief look at the agenda. Oliver will start presenting the key developments of the first half year, including an update on the TOP-10 program. And then he will pass over to Arno, who will then provide a closer look at the financials, and thereafter to the full year outlook 2024. Following the presentation, we will first host the Q&A session for the investor and analyst community, which is moderated by myself. And after that, we will have a short break before we then continue with media Q&A, which will be hosted then, of course, by Sebastian. As a reminder, and as always, the safe harbor language and other cautionary statement on Page 2 of our presentation will govern today's presentation. I would like to encourage you to read the disclaimer carefully, since all forward-looking statements are qualified by this language. As always, I will not read it out to you in order to save time. With that, I hand over to Oli. And Oli, the floor is yours.
Oliver Blume: Yes.  Thank you, Rolf, and good morning to all of you. It's a pleasure to guide you through our achievements and the key developments of the first half year. Later, Arno and I are looking forward to answering your questions after the presentation. Ladies and gentlemen, we are at half time of a truly demanding year. When we started into 2024, we had expected a year full of task and challenges, and the 6 months proved us right. Our environment is challenging. We are faced by geopolitical and economic crisis. The changed framework conditions in China, in particular, are a major challenge for our group as already discussed at our recent Capital Markets Day in April in Beijing. Competition has intensified significantly worldwide. New competitors are entering the market with a high level of innovation and cost advantages. What's important for us, first of all, in this environment, we delivered on central decision points of our TOP-10 program to transform our company at high speed. Second, we made important progress in what is the most comprehensive restructuring program in the history of the Volkswagen Group. Third, we pushed ahead with our product offensive with attractive, highly competitive new models, over 30 new cars this year and more to come in 2025. The positive feedback received so far makes us confident that we are moving in the right direction. And fourth, we are strongly advanced with the execution of our in China, for China strategy, with first exciting vehicles launched to the market and bring our local partnerships to the next level. With this, we continue preparing the ground for an accelerated performance from '25-'26 onwards. We also took decisive steps in software, and that's my fifth point. The global future electric architecture and software strategy is now in place together with strong partners. This enables us to speed up the software development process and to develop cutting-edge products at lower costs. And last but not least, financially, we delivered a solid set of results on an underlying basis as we handled significant nonoperating effects, in particular related to the restructuring of Volkswagen Group. In the competitive environment, we held up well. Nevertheless, we still have a long way to go to achieve our medium- and long-term goals. But we have a clear plan and we deliver. Let's look at the financial performance. After the expected softer start to the year, we came back with a strong second quarter. Sales revenues in H1 came in 1.6% higher at almost EUR 159 billion. The return on sales stood at 6.3% in the first half; however, results were held back by significant nonrecurring items, in particular, the provision related to severance programs at Volkswagen AG and other restructuring items. Excluding those, the underlying return on sales stood at 7.1%. Also here, we achieved a solid sequential improvement in the second quarter with an underlying margin of 7.6%. Net cash flow was strong in quarter 2 at plus EUR 2.9 billion. With that, we almost compensated the outflows of the first quarter. The solid set of results were supported by above-average performance of brands in the second quarter, which delivered even in a challenging environment. Higher volumes and positive price/mix drove Scania's margin further up to very competitive 14.5%. MAN proved its new resilience with a margin of 8.5%. Our luxury brands, Lamborghini and Bentley, delivered stellar 29% and 20% return on sales within Brand Group Progressive. Porsche showed a strong rebound in quarter 2 to a margin of 17.8% after a muted start to the year, and this in spite of renewing nearly all model lines in only 1 year and a very weak China luxury market. ?KODA achieved a strong return on sales of 8.7%, backed by great product momentum and competitive cost structure. However, our results also show where we need to improve. Audi continued to be held back by supply chain shortages and saw a margin of close to 7% only in quarter 2. At Volkswagen Brand, higher fixed costs and restructuring expenses lead to a return on sales of below 1%. Now that we have to put the group technically on track, our main area of action is cost cutting. Here, we are working with an intense systematic program at group level and in all brands. Group vehicle deliveries were on prior year's level after 6 months in 2024. Overall, we delivered 4.35 million vehicles to customers, that represents a share of around 11% in the global automotive market. The basis for this is a healthy regional mix. We continue to keep our strong position in Western Europe, in North America and South America, we grew significantly and were able to expand our market share. In China, as announced, we have prioritized sustainable value creation over higher volumes in a highly competitive market environment in order to achieve our long-term strategic goals. This is another positive reflection of our strategic value of our volume approach. Volkswagen Group is continuing to roll out its electrification strategy. In the first 6 months of 2024, we delivered more than 317,000 BEVs to customers worldwide. Doing so, the BEV share rose to slightly above 8% in quarter 2. Especially in China, the group delivered significantly more BEVs in the first half of the year, resulting in an increase of 47%. Attractive electric cars, such as the Volkswagen ID. family made this increase possible. The upswing of BEV deliveries in China almost compensate for the currently softer demand in Europe and the U.S. Still, there are signs of recovery in the electric segment across all markets. After a slight decline in quarter 1, the global BEV deliveries were on prior level again in Q2. And Volkswagen Group BEV order intake in Western Europe showed an encouraging trend, supported by strong product momentum. Orders more than doubled year-on-year in both the second quarter and the first half of this year. We are confident that Volkswagen Group is operating on a solid foundation. We are advancing our transformation and are navigating with a clear and transparent strategy. The TOP-10 program marked the operational and strategic priorities of our group. We are focused on execution, and we are getting things done. Let me highlight some more recent examples. We aim to increase productivity and efficiency at Volkswagen Group. Therefore, we have implemented a variable set of effective instruments across all brands and divisions. Our performance programs have already started to show first progress, and we are consistently implementing its measures. For example, technical adjustments, organizational measures, capacity adoptions, plant cost reductions, and platform synergies. And there we see already early impact. And we continue to make concerted efforts to consistently decrease our overall investment volume going forward. The group's largest product renewal is full in swing greatly strengthening our competitiveness. 2024 is a record year for Volkswagen Group in terms of new model launches across all brands. More than 30 new vehicles will be presented to the public this year. And as per day and as planned, more than half of these new cars have already been launched to the market with great feedback from customers and strongly positive reactions by the automotive press. The Electric Porsche Macan, the Audi Q6 e-tron [ of the Volkswagen ], ID.7 Tourer are just some examples for our inspiring model lines in the electric world. The start of sales states for icons of a new era, such as the ID. Buzz long wheelbase, the new Porsche 911 GTS, [ ST Hybrid ] and the Audi A5 as well, the A6 e-tron are just around the corner. And also important in the period of transformation, our combustion hybrid versions of the new Tiguan Golf Passat, the Superb, the Audi Q5 or the Panamera Cayenne are only some examples. Our product underlines our drive in strategy with a clear commitment to electromobility, flexibly covered with a full-size offer of modern combustion engines and hybrids to be able to fulfill the desires of our customers in the different regions of the world, which are moving with a different speed towards the transformation. And we are delivering on our promises. A new product strategy has been developed especially for the brand Volkswagen and for Audi. We completed extensive design programs and developed new product concepts in all brands. Also, our quality improvement initiatives over all brands showed good progress. We continue to enhance our position in the world's largest automotive market by systematically implementing in our in China, for China approach. Key initiatives in the region showed significant progress. The cooperation with Xiaopeng is fully on track. I'm really impressed by the high pace and commitment of the local team, and I'm glad to say that the project advances faster than initially planned. Together, we will jointly develop the electric and electronic architecture to turn pure electric models of Volkswagen Brand into software-defined vehicles in China. This will allow for a standardized system, increasing scale and efficiency. From 2026, the China electronic architecture will be used in all locally produced Volkswagen Brand models based on China Main Platform and the MEB platform. We successfully launched the new Volkswagen ID. UNYX developed in China, for China. The feedback is overwhelming positive, especially from a new target group of younger customers. The E-SUV coupé is characterized by a particularly progressive design, a smart human-machine interface with a 3D avatar and a range of more than 600 kilometers. Finally, Audi and SAIC are enhancing their partnership. The joint venture is preparing to launch some of the most appealing and progressive cars in the Chinese market. The cooperation between Audi and SAIC starts with 3 BEV models. First models will enter already the market in 2025 with a time to market reduced already by more than 30%. When Volkswagen Group's new management team took responsibility, we promised to realign the software activities in this company. We kept this promise by fixing the existing platforms. First proof points are the Q6 e-tron and the Macan Electric and defining the new worldwide strategy and partner network. In China, we are closely cooperating with our Partner, Xiaopeng, in the A and B segments. For the rest of the world, we focus on our new partnership with Rivian, where recently we announced our intent to establish a joint venture. Here, we will jointly create the next generation of electric, electronic architecture and software for electric vehicles. The vision of the software-defined vehicle is becoming reality in a short time period of time. The new activities with Rivian will complete our smart partnership ecosystem across all technologies and regions. Volkswagen Group, together with Xiaopeng, Mobileye, Horizon Robotics and others is a powerhouse of automotive software development. We will continue to reshape our software company, CARIAD. CARIAD, for us, is and remains an important part of Volkswagen Group's software strategy. We will combine expertise of partners with our own know-how and our capabilities for global scaling and industrialization. One of Volkswagen Group's strength are high-performance, standardized vehicle platforms. Building on this, we have realigned our architecture structure and defined clear development responsibilities. With the Porsche Macan, we have launched the first model on the new PPE with the EQ 1.2 (sic) [ E3 1.2 ] architecture followed by the Audi Q6 e-tron. First customer deliveries of the Q6 e-tron started a few weeks ago, and deliveries of the Macan will start in September. For both the Porsche Macan and the Audi Q6 e-tron, the feedbacks are very positive in terms of design, performance, range, efficiency, charging speed and the digital interface. These successful launches marks the start point of more models to come on the new platform, in particular, the Audi A6 e-tron and the electric Porsche Cayenne. On top, we will bring new ICE cars to the market on the PPC platform with the Audi A5, the Q5 and the A7, each with a modern plug-in hybrid version, also driven by the EQ 1.2 (sic) [ E3 1.2 ] software architecture. Ladies and gentlemen, our team has a clear focus on execution in this year of transformation. We are delivering in a challenging environment and setting now the base for a successful ramp up from '25-'26 onwards. Let's now have a closer look at the financials in the first half of this year. And therefore, I would like to hand over to Arno.
Arno Antlitz: We build on a step-up of sales and earnings momentum, supported by the launch of new models as well as a stronger mix due to, in particular, better availability of 6- and 8-cylinder models at Audi. We are building on a solid order bank in Western Europe of 900,000 cars, still above pre-COVID levels, with visibility into the fourth quarter and an overall encouraging order intake, which is above prior year level. Overall, we anticipate mix to positively contribute to the second half of the year. At the same time, we factor in that markets will remain highly competitive, product costs are expected to be a small tailwind in H2, and we continue to push ahead with the execution of our performance program across all brands and divisions. Based on these assumptions and developments, we expect sales revenue to advance by up to 5%, the operating margin in the bandwidth of 6.5% to 7% and Automotive net cash flow in the range of EUR 2.5 billion to EUR 4.5 billion. The outlook reflects a total of minus EUR 2.6 billion in nonrecurring earnings effect with the EUR 0.9 billion severance provisions and about EUR 1.3 billion of expected expenses related to Audi Brussels plant being the largest drivers. Taking into account the most recent announcement of Porsche AG related to the adjustment of the full year outlook, we currently expect to range at the lower end of the presented guidance across all KPIs. And looking at the second quarter -- and looking at the second half of the year, you should take into account that the Q3, so the third quarter is typically the weakest quarter of the year because of the plant holidays. And please bear in mind that it will be additionally affected by provisions at Audi for the Brussels plant and the supply constraints at Porsche. This means Q4 is expected to be by far the strongest quarter of the year. With that, I hand back to Oliver to give us a small summary of what we achieved.
Oliver Blume: Yes.  Thank you, Arno, for providing our financial overview. And ladies and gentlemen, let me summarize quickly. First, we delivered solid underlying financial results. We are holding our own in demanding first half year and need to act with even greater determination. Second, this is why we accelerated speed and enlarged the scope of restructuring measures. Third, our comprehensive global software strategy is now fully in place with throughout smart partnerships to improve competitiveness globally and in China. Fourth, execution of our regional strategy in China is in full swing. Fifth, the group's largest product renewal is continuing with full force, greatly strengthening our competitiveness, particular in 2025. And sixth, we expect a strong underlying financial performance in the second half of the year, especially in quarter 4. To achieve our full ambitions and to deliver on our outlook, we must switch gears and make considerable efforts, especially on the cost side in the second half of the year. And with this said, I would like to hand back to Rolf.
Rolf Woller: Thank you, Oli.  And thanks to both of you for the very comprehensive overview of the development in the first half of 2024. With that, we would start the question-and-answer session.
Rolf Woller: [Operator Instructions] So we would start with the first question coming from Tim Rokossa from Deutsche Bank.
Tim Rokossa: I would have two questions, please. The first one is on investments. Obviously, we had Rivian, you can and should spend money only once. If you already get the E/E architecture and the software from them, you probably need less money to invest into CARIAD and possibly even Scout. Is it fair to assume that we can see synergies thinking about this with respect to the EUR 180 billion, respectively, EUR 170 billion investment budget. And as a follow-up to that, with everything going on with respect to EV demand, is it fair to assume that you will spend less money than you had previously thought on PowerCo? And my second question is, also probably to both of you or maybe mainly Oli. It's great to see that you're addressing the cost base in Europe with Brussels. Some would say that's even revolutionary for VW. Is this only the beginning? Or do you feel like you're done with that move?
Oliver Blume: Yes.  Maybe I take over and thanks, Tim, for your questions. And first of all, talking, I think it's interesting for the whole group about our software strategy. We are now in place with our overall worldwide group software strategy. As you know, we are bringing in order the existing platforms, 1.1 and 1.2 now with the first product to the market. And we have built now our software strategy as we are speeding up the move to a software-defined vehicle with a Xiaopeng approach in China, where we also use the Xiaopeng architecture for the MEB and now with Rivian for our first SSP models to adapt them for the group. On the other side, we have CARIAD in responsibility beside of the existing platforms for cross-functional items like autonomous driving, infotainment, connectivity, cloud, data and back end. And all of this brings us in a very flexible situation regionally and in a better cost positioning. And having said that, the investment in Rivian is well sought also to reduce investments in CARIAD. First part of your question. Second part is about PowerCo. There, we think it is the right approach to have engineering and production in-house. And what we have done is to adapt the sequence of the ramp-up of our plants depends on the demand of battery cells. And with this, we are also able to decrease investments. And we will leverage at any time, the mix of own production and of our partners and resuming. That also has a high flexibility, and it brings us to a better cost positioning. In terms of our planned investments: EUR 180 billion last planning round; this planning round, EUR 170 billion and we plan more reductions for the future. And we see especially this year, at the peak of our investments, and now decreasing with all the strategic decisions we have taken. Then let me come to the second part. You asked about the restructuring of capacities. And there, first of all, you know that we are in the middle of the implementation of our performance programs over all brands. Then we recently launched the severance programs, especially Brand Volkswagen. And we'll be informed about the consultation process of the Audi Brussels site. Besides of this, we have a lot of capacity adjustments already done. And there, we are talking about organization and about technological adaptations, for example in Wolfsburg, in Emden, in Zwickau, Neckarsulm and Ingolstadt. We already reduced technical capacity by 25%. And we continue to plan with our staff-oriented so-called plant allocation. That's an important factor, especially in Germany where it brings us in a better positioning. And we are reducing all factory costs, overall levels with productivity, but also supply chain costs and labor costs. And that's a complete program, which is directly linked to our performance programs.
Rolf Woller: Tim, I think we have a brief follow-up, Arno, on the investment spending.
Arno Antlitz: Yes.  Tim, I think everything is said by Oliver already, but just to give you a little bit more clarity on our opportunities. I mean it's clear, 2024 will be the peak year on R&D and CapEx. For the planning round, we are already committed for the next planning round to EUR 170 billion due to a significant ramp down of our ICE. And currently, we think of about EUR 165 billion, taking into account the JV with Rivian. This provides us, obviously, with multiple opportunities because we can draw on very competitive solutions that are developed already. So that helps us to save time and also expenditures. And we continue to plan for lower investment ratio of about 11% in 2027 and 9% in 2030, just to give you a reminder. And of course, that will favor the net cash flow generation as well.
Rolf Woller: Thank you, Arno, for that addition. I hope, Tim, that has answered your questions.
Tim Rokossa: Yes.  Obviously, we would like to hear some sort of quantification, but I understand that it's probably a bit too early.
Rolf Woller: The quantification on the investment, I think, was given by Arno to the EUR 165 billion from the EUR 170 billion currently. We continue with Mike Tyndall from HSBC.  Mike?
Michael Tyndall: Just a couple of questions from me. I guess the first one, equity income went to negative. And I can see that China profits is down per vehicle, but I'm kind of curious what the driving forces for that equity income being negative. And then just picking up again on the restructuring side of things. You talked about reduced technical capacity of 25%, but fixed costs, even if I strip out the restructuring side of things, look like they're going up. So I'm trying to square that, when are we going to see the benefits of the performance plan start to actually bear fruit? Is it just simply too early? Or are you seeing other headwinds, which means you've got to run faster?
Arno Antlitz: Yes.  I'll take the first question in terms of the equity result. The first driver clearly is the equity result of our big Chinese JVs for the [indiscernible]. But there are also some smaller JVs. We just found it, which incur significant head-up upfront investments, for example, the JV with Horizon Robotics, we call it Horizon, they will develop the next generation of ADAS/AD software in China Level 2, Level 2++ and the losses they incur in upfront investment, they are also booked in this category, to give you one example.
Oliver Blume: Yes.  And Mike, coming to your second question. First of all, the technical adoption of the plant is necessary to further benefit in the upcoming years from a better cost positioning of the plant, also in the shifts we are driving. And talking about the performance programs, we kicked them off. We are implementing the performance programs and some in the early phase. They are to compensate expected headwinds and also onetime effects in the restructuring process of the group. But in the upcoming years, we will also see positive momentum for the development of our group. That's planned step by step. Now we have all the measures defined for this year, for next year, for the upcoming years. We are working on measures, and we are still in the ramp-up curve, and it will pay off in the upcoming years.
Michael Tyndall: I wonder if I can just, a quick follow-up. Just Arno mentioned that the VW Passenger Cars result was not where you expected and it wasn't in your ambition. Does that mean we need to do more? Or is it just a case of waiting for these programs to kick in?
Oliver Blume: Yes.  That's our main focus. And therefore, we have mentioned it. And for us, in the upcoming months, in Volkswagen Group, we have now all the strategic bases. We have taken all the technical decisions. We have done all the organizational steps needed. And now it is about costs, costs and costs. And that's especially in the brand of Volkswagen, but also we will focus in all the other brands.
Rolf Woller: Thanks, Mike.  And we are moving on to Patrick Hummel from UBS.  Patrick?
Patrick Hummel: I just wanted to ask very simple on the cost side of things. Why are you not giving yourself an absolute EUR 1 billion target for fixed cost? That would make the life of our -- of us, analysts or investors, much easier. We wouldn't have to deal with all the puts and takes. And also, it would probably give you a better handle internally to achieve an absolute EUR 1 billion target if you have cost inflation in other areas that are offsetting all your efforts, which seems to be the case for the time being. And related to this, as you enter more partnerships, it feels like more and more of cost burdens go into the equity result structurally, so that an important part of the operating performance is actually below the line that you focus on, which is operating profit. So are you thinking about including that in some form going forward? Because it feels like it's just going to get more important. And if I may, Oliver, on the second topic, CO2. You sounded in the last call, quite confident that you could get a bit more flexibility for 2025. It feels like listening to the EU Commission President, that we shouldn't expect too much for next year, if anything at all later on. So can you just give us an update about your CO2 compliance plan for 2025 and the related cost?
Arno Antlitz: Yes.  Patrick, I'll take the first one. Look, we are absolutely committed and focused on the fixed cost side. This is why we are also very transparent, both in R&D and CapEx and also on the fixed cost side, we give you high transparency. Clearly, we have internally tough targets. And as I said before, we are not happy with the performance right now. It's a little bit [ technically ], you had a huge wage increase in Germany last year. I think 5-point-something percent and now another 3-point something which, of course, has a lot of carry on, and it takes some while until our restructuring measures, for example, early retirement program take place. But as said before, Oliver and myself, we also have to step up in initiatives there. So we have clear targets internally, and we give you a lot of transparency externally. And believe me, we have also the other elements of our results and of our P&L firmly inside. We're not only looking at the operative result, we look at financial results. And at the end of the day, if you look at our performance, steering earnings per share is a major parameter of how our Board is incentivized. So don't worry, we are absolutely committed also on the earnings per share KPI, which is finally everything, including all the discussions we have.
Oliver Blume: And Patrick, coming to your second question about the CO2 regulation for next year. We still have a gap to close, first of all. On the other side, it's very promising, the order intake we do have on BEVs, which doubled in the first half of this year comparing to last year. And we are launching this year over 30 new models, and the half of them are BEVs, and they are entering in the market right now. And the first products are getting very positive feedback, and that's very promising for more order intakes, which will support us for next year. And being very clear, every euro spent on penalties is a bad invested euro. And therefore, we will find -- or we will fight for a way to compensate everything. And the main driver our product offensive with the BEVs and the positive response we are getting already from the markets.
Rolf Woller: And we are moving on to José Asumendi from JPMorgan.  José?
Jose Asumendi: Two questions, please, Oli. You mentioned getting things done. I fully agree in the last -- the changes you're doing now is definitely many more changes. We will see many more changes now than what we have seen in the last 10 years. So  congratulations on all the work you're doing there. I'm just wondering if you could just comment on -- into the second half of the year, what is -- top of your mind, what needs additional restructuring? Which divisions do you think need further acceleration? And then second, Arno, there is a lot going on, obviously, on the cash front with different partnerships and collaborations, restructuring charges, you name it, a lot of things. Does the EUR 2.5 billion to EUR 4.5 billion free cash flow guidance, that's it. Now are you comfortable with this free cash flow guidance? Does it have all of the elements which we need to think about for 2024? And can you help us a bit on second half free cash generation? How should we think about it?
Oliver Blume: Yes.  José, let me start with your first question. And we are following strictly with our TOP-10 program for our operational and strategic issues. We have taken already the main strategic, technical and organizational decisions. First of all, we brought in order our product management, focusing on delivering on [ SUPs ], what you can mention already this year that we are reliably bringing our product to the start of production. We have brought in order the technical architecture of our cars. We kicked off a massive design initiative for all brands, which is paying off step by step. We have implemented a complete quality program, which we can already feel on the response from the market. We have brought in order the software strategy. First of all, to repairing the existing platforms, the first results we can see right now with fantastic offer to our customers. And now with the international strategy with Xiaopeng and Rivian being flexible. And we have structured or restructured our China strategy, the product offer there, but also the China, in China approach we presented in the Capital Market Day. And we adjusted our battery strategy. And now we have two main issues from my point of view, is ramping up all these activities, which are founded on all these directional decisions we have taken. And we are middle of this, what you can mention from the product side. And the second issue now is for me, as I mentioned before, costs, costs and costs. And these two things will be after the first 2 years, restructuring the whole group. My personal focus, ramping up all the initiatives and costs, costs and costs with a strong support from Arno.
Arno Antlitz: I'll take the cash flow and also the question [ we tried, included then ] in the second half. Of course, we expect the underlying H2 result that it should be better than H1 because Audi Brussels impact earnings, but not cash effective in H2. So based -- operating cash flow, of course, then we have a positive effect from working capital, as always, in Q4, when inventories are expected to decrease towards year-end, supply parts issues are expected to be solved. So it's a working capital contribution for them. Then from this perspective, it's too early to say, but there might be a situation that not all M&A would materialize specifically on what we were planning for at CARIAD for some raw material topics. Don't forget China dividend in the second half will be slightly higher than in the first. We talked about strong investment discipline. Oliver and myself will really have a look at that. We see the reversal of the EUR 0.5 billion of H1 at [indiscernible], this internal project name for the reorganization of Financial Services, but there will be partly compensations for the additional investment in Rivian, so the second tranche of about the EUR 1 billion. And then also the first EUR 1 billion will also be cash relevant then for the JV. So these are the ingredients. For the second half of the year will be, I would say, positive contribution in the third quarter, and then the rest should come in Q4, eventually leading us to the EUR 2.5 billion to the EUR 4.5 billion.
Rolf Woller: And we are continuing with Horst Schneider from Bank of America. Horst, the nitty-gritty.
Horst Schneider: Two just more follow-up question from my side. As you rightly pointed out basically, the environment is getting more challenging. You talk about fierce price competition, more technical price actions. With that regard, again, I wonder basically what is needed to achieve this implied close to 8% operating margin in Q4? So I mean, when Tim asked about quantification, could you maybe quantify what is needed in terms of cost cutting, for example, cost-cutting step-up in fixed cost, but also in the other cost bucket in Q4? And what is -- I know for you, it's difficult to talk about pricing, but at least can you say that the pricing gets, I mean, more challenging? Or why should it get less challenging in H2? That would be helpful. And then I want to get back on Patrick's question regarding EVs and the CO2 targets in 2025 in Europe. We heard recently that Mercedes said it would be an option basically to pool emissions with other carmakers. I just want to ask you, Oli, if that is also an option for you as a Volkswagen Group. And if not, what BEV ratio basically is required in your view, in '25 basically to meet the targets?
Arno Antlitz: Yes.  So I'll take your first question. Basically, you didn't ask for the EBIT bridge for the second half, but basically you did, so I'll try my best, okay?
Horst Schneider: In a way, I asked for this. In a way, I asked for this.
Arno Antlitz: So on the underlying basis, we should see a result based on H2 2023. And obviously, you have to deduct then the onetime effect of Brussels. So volume price/mix should be overall stable with a small positive on volume.  Why positive?  Because the volumes basically outside our Chinese JVs, we expect positive and it will drive small volume. But as you said, mix and pricing challenging, but we have a very good position there. The best position in a challenging environment are great cars and a good order bank in Europe, and both we have, yes. We bring really great cars from the Brand Group, premium from Porsche eMacan, Q6 e-tron. Tourer is doing very well. And we have this order bank of 900,000 cars in Europe. Then we expect a small positive from valuation effects. We communicated our program to basically finalize the transfer them to our -- basically to our balance sheet. So -- but there are small positives from the derivatives in the second half. Product costs should be a small positive. And yes, there will be continued fixed cost burden, but the fixed cost burden should be lower than in H1 because if you compare it like-for-like, we had a huge step-up of wage increase basically in the middle of last year. So in the second half, we compare like-for-like and the bridges comparing like-for-like to a second half 2023, where the rates has already went up 5-point-something percent, I think 5.5%. And then eventually what Oliver said, our restructuring measures kick in. First effect from our severance program kick in. So this should be the ingredients for the second half, and this should bring us to our guidance.
Horst Schneider: Small follow-up, Arno, just when you say lower fixed cost H2 versus H1 despite the cost of the plant closure at Audi.
Arno Antlitz: Yes, lower.  I mean we expect the fixed cost increase in H2, but the increase should be significantly lower than in the first half of the year. But this was basically before the restructuring costs for Brussels.  That's clear.
Horst Schneider: Okay.  All right.
Oliver Blume: And then Horst, let me come to your other question about pooling emissions. There clearly, again, we want to avoid penalties. And so first of all, we have big potential with all our groups and the new models we are bringing to the market. We want to help ourselves. And only secondly, we will balance other measures like pooling emissions, but always leveraging expenditures on the one hand side and benefits on the other side. And therefore, we work firstly on our own issues. And then at the end, we will think about if it's necessary to take other measures.
Horst Schneider: The target for 2025, the debt penetration ratio, you would need to meet the targets. Can you share that information? Or you don't want to share that?
Oliver Blume: It's still too early to predict. We have what I already mentioned, very positive order intake. And I think we have to wait for the second half of this year with all the new models coming to the market. It's very promising. And then we think that we come to our target situation. But to be very clear, we need to wait for the whole reaction of the market.
Rolf Woller: And we are moving on to Henning Cosman for Barclays.
Henning Cosman: I had a clarification first, Arno, when you talked about the bottom of the guidance ranges, respectively, across all KPIs. I just wanted to make sure that means really everything you have on the slide. So sales revenue up to 5%. So does that mean closer to 0% than to 5%, margin closer to 6.5%? I think you talked about the net cash flow. But just on the cash flow as well, specifically, I wanted to ask, you have EUR 4 billion M&A included in that number. If you end up spending less, should we expect the free cash flow to be higher by the balance that you don't spend? That's the first question. If you could just clarify that point around bottom end across the KPIs. And second question, maybe Oli, for you. I wanted to ask you to discuss the dynamics a little bit of 50% of your model launches being BEV because not just by yourselves, but it's often discussed in a very positive context. But of course, these BEV launches even though improved generation over generation, they're still dilutive for you, right? So could you help me just understand the positivity around the BEV launches with respect to the financial results, not just generation over generation, but also in the context of combustion engine profitability?
Arno Antlitz: Yes.  Henning, you're right that my -- what I just said is basically refers to sales revenue, the margin and net cash flow more towards the lower end. And you're quite right, there are some chances concerning cash flow, specifically, as I mentioned before, concerning M&A. On the other hand, we have some additional burden on the inventory side because we have really a lot of new model launches, and these new model launches, they kick in, in Q3, Q4. We ramped up the PPE platform, eMacan, Q6 e-tron and eventually, E6 on the year, and it's really too early to give a very precise production on the burden on inventory there. But we -- from today's perspective, we will have a step-up in inventories, which then will be more than a chance in 2025. But from today's perspective, for the 3 KPIs you mentioned, we are more at the lower end of the range.
Oliver Blume: And Henning, coming to the cost positioning and profit positioning of our BEV. First of all, we have the flexibility in between combustion, hybrids and BEVs that makes us flexible. And in terms of the BEV ramp-up, we are benefiting from scale effects and from our platforms, we do have. And our strategic financial targets, bringing the group up to 2030 to 10% return on sales is directly linked to the BEV share we are expecting. And we are working on the cost structure. We are benefiting from strategic decisions, bundling products on one platform. For example, the entry cars, we will bring to the market soon on a level of EUR 25,000 is shared by Volkswagen with 2 models, ?KODA and CUPRA and so on. And now the PPE for Audi and Porsche, where we will bring many, many more products. That brings us to a better cost structure and also the strategy moving to LFP batteries is an impact on this. And so it's very clear that our strategic plan takes in mind the BEV share.
Henning Cosman: But it's fair to say, Oli, that the current generation of EV launches is still dilutive, right? And that's something that you have to compensate elsewhere as that share goes up.
Oliver Blume: Yes.  We are now in the second generation. On the one hand side, the technological profile is much better than the first generation. And we are just at the beginning of the second generation. And there, the benefit of the scale effects, we will see in the upcoming years. And then what will strengthen our competitiveness there is also the decrease of raw material prices will have an aspect there. And -- which is all the points I have mentioned, working on cost structure, LFP batteries, raw materials, scale effects, bundling products, that will have an effect now with more and more BEV products to come on the same platforms.
Rolf Woller: Thank you, Henning. And we are obviously aware of the fact that the competitor is starting its call at 10:15. It's in your hands. We have now 5 people still waiting in the queue. George, you would be next, and then try to hurry up to let the others also have a chance to raise their questions.  Thanks, George.
George Galliers-Pratt: Yes.  No, absolutely.  Well, I'll just ask one quick question then. Obviously, encouraging to see all the new products on Slide 11. And you talk about European orders increasing slightly over the course of the first half. Could you perhaps just give us an update on the health of the European market and the consumer? And do you think your order growth is more a function of your strong product portfolio that is coming to market over the course of the next 6 months? Or are you actually also seeing some margin improvement in terms of the consumer and appetite for new cars?
Oliver Blume: Yes.  We expect a slightly growth of the Western European markets. And the strong order intake we do have is mainly driven because of the product momentum we have on BEVs, very attractive products, very positive feedback from the automotive media from the customers and for combustion engine and hybrids also. And that will help us, especially from '25 onwards when we are with a completely new product range in the market, we expect a strong momentum.
Rolf Woller: Thank you, George.  And we are moving on to Philippe from Jefferies.
Philippe Houchois: I have a couple of questions. One is, Arno, I'm looking at your working capital, net working capital inventory payables, receivables. It's about EUR 50 billion which, by the way, is the market cap of the group, which says a lot about how much value you think the market puts on your core business. I'm just trying to think is what can you do to reduce net working capital? And whether we look at inventory, payables, receivables, you tend to be at the high end of -- or the low end of the performance of your peers. Is that part of your KPIs? Is that part of your action plan to free up liquidity capital in the business? And then I have a question maybe more for Oli. I look at your CO2 compliance for next year, there are 2 ways of complying. You can start to comply right away from January, lower your CO2 or you can do it gradually as the year progresses. To the first one, which I think is easier or is better, that requires ramping up quite a lot of your deliveries of EVs to dealers starting September, October, so they can hit registrations in January. Are you in position to do that? Or are we going to see the second scenario where we start noncompliant and then we improve a lot of stress in 2025 to try to get to the target?
Arno Antlitz: No, Philippe, you're quite right. It's a really high number, and we also have a very good external, obviously, external benchmarking where our competitors stand, and we know our levers and there are some levers. Obviously, the first one is inventory with all the levers we have for raw materials, then inventories in the plants and final goods. Unfortunately there, we made some progress there, but there were some also headwinds. The first headwind was increase in working capital on the raw materials for batteries. We are quite overstocked currently in some of the batteries. And second, we have also a headwind because we roll out our agency model, which will bring significant positive advantage in terms of steering, in terms of having the pricing in our own hands, but this is also a small burden on that. But nevertheless, we work intensely on that topic. And what also makes me very encouraging, we have now in the management [ incentivization ] in place, not only based on EBIT but also based on cash flow. And I make you one small example then to kind of understand how that works. It takes a little bit longer, but it works already very well. Look, in the past, we used to order the biggest chips. The biggest chips had the smallest transportation rate per car, and you have to wait until the ship is full. And now that the people have started looking into that say, look, it's not only EBIT, it's not only the cost per car, it's also how long does the car stand, what our cash flow. Now we order smaller ships, which are a little bit more expensive to transport, but it's significantly positive on the cash flow. So this is some of the examples we look at. And yes, there are other dimensions, payables, receivables we look at as well. And yes, rest assured, we have absolute focus on cash flow and working capital. And the third topic, I already mentioned this year, this year we see a significant positive momentum for our business by Oliver, I think, 30 new models we bring in the market this year. But if you bring 30 new models, you have also kind of a burden on the inventories because we have to fill up the pipelines worldwide for this model. As I said before, this might be also a chance for next year.
Oliver Blume: And coming back to your CO2 question. First, first of all, we rely on our product momentum for next year. And we will wait up to the end of the year, how will the order intake develop. And then thinking about technical measures to bring cars from '24 to '25, that could have a very small, small effect. And so it's a speculation. And I think, first of all, we go for our product momentum where we see ourselves very well prepared.
Rolf Woller: Thank you, Philippe. So we have two to go. Stephen from Bernstein.
Stephen Reitman: Yes.  Thank you for quantifying the potential reduction in CapEx that's going to come from the Rivian deal, which I think you put about EUR 5 billion over 5 years. Can you put that into context of the loss of CARIAD, which probably seems to be running at about at least EUR 2 billion a year. When do you think we'll see a material impact in terms of reduction in losses or even profitability, which is a product at CARIAD? And secondly, on the software strategy. Obviously, you talk about all the flexibility you have from all the joint, back on the deals you've done in China, and you have CARIAD and [ not so ] in the U.S. But could you explain how that works with your platform strategy in terms of really given to one platform? And when you're going to actually have one unified stack where you would actually get real scale effects?
Oliver Blume: May I start with the strategy, and then Arno can take over the reduction of investments we are planning there. We built now a very flexible strategy for our software-defined vehicle, one, with a Xiaopeng approach and the other one with a Rivian approach. And they are very similar in terms of zonal architecture. And first, to ramp it up. We have chosen in China, the China Main Platform and the MEB to bring this zonal architecture quickly to the market from '26 onwards and for Rivian to start with the first SSPs. Then we think about a [ convergence ]. And there, we have to leverage also in terms of regulations, which standardized modules we can use of the architecture and where do we need regional layers. Today, already, we are working with regional layers in China because the demand expectation of the Chinese customers is different than in other regions of the world. And then we will have also Western layers. But in terms of standardization, to carry over as much as possible what we are able to do also in terms of regulations and then being as specific as necessary in the different regions of the world. That's the thought in this software strategy. And therefore, also the cross-functional issues like infotainment, like connectivity and so on, are driven centrally by CARIAD. And therefore, we are very flexible to adapt what we need in terms of autonomous driving, where we have a lot of regulation that we have partners in the Western and in the Eastern world. And so everything is carefully balanced to have this flexibility and also cost positioning. And about the investment, Arno?
Arno Antlitz: Yes.  Thanks for the question. Look, the indication of EUR 165 billion, it's not directly linked to Rivian.  Why?  Because I mean, look, Rivian, we have a huge chance now to generate the next-generation software stack, bring our competencies together with Rivian, but that takes a little bit of time. And our planning round is 2025 to 2029. So part of the EUR 5 billion is a significant positive impact from Rivian because we can use existing very competitive solutions. But it's only a small, I would say, time frame and the huge benefit will come 2029 and beyond, which is not part of the famous EUR 180 billion , EUR 170 billion, now EUR 165 billion. So the benefits, the upfront investment in the joint venture and in Rivian, yes, was EUR 5 billion, but the benefits will significantly continue later on. And on the other hand, we discussed some chances. We already took some decisions to adapt on our ramp-up of PowerCo, for example. We're still absolutely committed to ramp up PowerCo. But of course,  we look at the ramp-up of demand globally. We want to invest 50% in our own battery capacity. So we adapted the PowerCo ramp-up already. So the EUR 5 billion is the chance we have currently looking at 2025 to 2029, but the chances Rivian beyond the strategic and operational advantages are obviously higher going forward beyond 2029. Yes.  Of course, if you look at CARIAD, it's too early to give you a concrete set of numbers. We gave you an indication of -- at the Capital Markets Day where we see the breakeven and the cash flow breakeven for CARIAD. Obviously, what Oliver said, CARIAD will play an important part going forward. We'll concentrate on the 1.1 and the 1.2 and the 2.0 platform, the next-generation platform will be basically built out of the joint venture with, of course, an investment of CARIAD. But obviously, since in the old, let's call it, old business case, the upfront investment for the 2.0 were in the CARIAD business case. Now it moves to the JV. So we will come up with a revised business plan also for CARIAD, which should a bit positive on -- both on the operational side and also on cash flow breakeven.
Rolf Woller: Thank you, Stephen. And we take the last question from Michael Punzet from DZ Bank.  Michael?
Michael Punzet: I have one question with regard to your order book. You mentioned a number of 900,000 cars in Europe. That is a drop of roughly 200,000 cars compared with the Q1 result. I would like to have an additional figure for the BEV share, that is possible? And the second question is on the expected better performance in H2, which will be the main drivers or regions for that expected development.
Oliver Blume: Yes.  Michael, may I start for the order intake and expectation for BEV? We are right now in around 8% BEV share and the expectation up to the end of the year is in between 9% and 10% because of the product momentum we are expecting and the strong order intake. And main driver of the regions, we still see a very strong North American and South American markets, but also Europe play a big role. And we have to struggle this year in China. That's what we presented in the Capital Markets Day in Beijing.
Michael Punzet: Okay.  I mean is can you give us any figure for the BEV order into the order book, it's included in the 900,000 cars? That was the real question, sorry.
Oliver Blume: Yes.  That's included.  That's included.  And especially, we said because I think that's a strong number being doubled comparing to '23, but it's inside of this.
Rolf Woller: Thank you, Michael, and thanks to all of you for the questions. We are now at the end of the investor and analyst call. And if anything is left or if you couldn't actually take your questions right now, we are very happy to answer them. But actually, please contact the IR team here in Wolfsburg. Next time to meet us will be on road shows in London or in the U.S. and on the East Coast in early September as well as we do this in part virtually and in part physically. The 9-month call will be on October 30th, and we will have the pre-close call on October 14. And after a short break of about 5 to 10 minutes, we will continue with the media session, and hope that you will be arrive on time at the Munich call for all of those who have to switch.  Thank you.
Oliver Blume: Thanks to all.